Operator: Good day and welcome to the West Pharmaceutical Services Third Quarter 2013 Result conference call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions). This call is being recorded on behalf of West and is copyrighted material. It cannot be rerecorded or rebroadcast without the company’s expressed permission. Your participation in this call implies your consent to our taping. If you have any objection, you may disconnect at this time. And now I’d like to turn today’s meeting over to Mr. John Woolford from Westwicke Partners. Sir, you may begin.
John Woolford: Thank you, operator. Good morning everyone and welcome to West’s third quarter 2013 results conference call. We issued our financial results this morning and the release has been posted in the Investors section on the company’s website located at www.westpharma.com. If you have not received a copy of this announcement please call Westwicke Partners at 443-213-0500 and a copy will be sent to you immediately. Posted on the company’s website is a slide presentation that management will refer to in their remarks today. The presentation is in PDF format. Should you require a link to a free download of software that will enable users to view the presentation, is also available on the website. I remind you that statements made by management on this call and in the presentation will contain forward-looking statements within the meaning of U.S. Federal Securities law and that are based on management’s beliefs and assumptions, current expectations, estimates and forecasts. Many of the factors that will determine the company’s future results are beyond the ability of the company to control or predict. These statements are subject to known or unknown risks or uncertainties and therefore actual results could differ materially from past results and those expressed or implied in any forward-looking statement. For a non-exclusive list of factors which could cause actual results to differ from expectations, please refer to today’s press release, as well as any further disclosures the company makes on related subjects in the company’s 10-K, 10-Q, and 8-K reports. In addition, during today’s call, management may make reference to non-GAAP financial measures including adjusting operating profit and adjusted diluted EPS. Reconciliations and limitations of the non-GAAP financial measures to the most comparable financial results prepared in conformity to GAAP are provided in materials accompanying this morning’s earnings release. At this time, I’d like to turn the call over to Don Morel, West’s Chairman and CEO. Don?
Don Morel : Thank you, John and good morning everyone. Welcome to West third quarter earnings call. Joining me today are Bill Federici, West’s Chief Financial Officer and Mike Anderson our Treasurer and Primary Investor Relations contact. This morning Bill and I will be discussing our operating performance for the past three months and their outlook for the remainder of the year. We will also provide a preliminary revenue guidance for 2014 and our update for our five year planning objectives for the business. As in past calls, we will referring a PowerPoint slide deck to support our remarks, which can be accessed via our website under Investor. However, if you cannot access the file, the information in the slides is covered in both this morning’s release and our prepared remarks. West had a very strong third quarter as summarized on slide 3 and 4. Beginning with slide 3, which was highlights in the quarter. Revenues were up strongly versus 2012 driven by high value product sales and Pharmaceutical Packaging. The favorable product mix resulted in a one percentage point improvement in our gross margin, which when combined with contributions from our lean initiatives and SG&A control yielded a more than 40% increase in adjusted operating profit. And as was announced in our August call, the two-for-one stocks were approved by the Board was distributed the shareholders September 26. Turning to slide number 4. Consolidated sales increased 10.9% to just over $341 million excluding currency effects and our consolidated gross margin increased to 30.8%. Adjusted operating profits improved by $11.8 million to $39.7 million and adjusted earnings per share were $0.39 versus $0.26 on a split adjusted basis. Overall it was a very strong quarter for the company. Additional segment details are provided on slide number 5. Sales in the Packaging Systems segment grew by 14.7% and Delivery Systems grew by 1.7%, again excluding the effects of currency. Pharmaceutical Packaging Sales benefited from a very positive sales mix generated by substantially higher sales of Westar and FluroTec products, especially in markets outside the U.S. and strong Asia-Pacific demand. Sales of high value products increased over 23% versus the prior year period and rebounded from the 3.3% gain in the second quarter of this year. Delivery Systems sales grew modestly driven by a 12% increase in sales of CZ cartridges and vials. In our contract manufacturing operations Europe demand continue to be strong for insulin delivery system, while North America was softer as a result of regulatory delays with two key start-up programs. We expect both of these programs to ramp up in the first half of 2014. Our current backlog of firm committed orders as of September 30th, was $355 million on prior with the backlog at the close of the second quarter and 12% ahead of the prior year period. On a positive note, incoming orders for 2014 are ahead of prior year levels are good sign for this part of the year. Slide number 6 provides a brief summary of our ongoing expansion in new product development programs. The new China elastomer facility is up and running with third quarter production largely allocated to customer line files and validation testing. Commercial sales will start this quarter. Installation of machinery for metal seal manufacturing has started in India facility and we expect commercial production to start on schedule in early 2014. Based on gains and production efficiency in existing facilities however, we are looking at deferring the elastomer portion of the India facility for 12 to 18 months. This decision will be based on how we see demand unfolding to the Middle East and Far East markets over the next few quarters. We expect double-digit increases in sales of our proprietary systems during 2013 with CZ revenues for the full year totaling nearly $15 million. During the third quarter proprietary sales in the Delivery System group accounted for 24% of revenues with CZ revenues topping $4 million. However, as we've discussed in prior calls the nature customer clinical trials and production validation runs will likely cause demand over the next 12 to 24 months to fluctuate. The key parameter for the eventual commercialization of CZ systems and container remains customer initiation of formal stability trials. We will continue to provide updates on our quarterly calls as we're able given the confidentiality provisions of our development agreements with customers. However interest remains very strong in CZ as a primary container especially for sensitive biologic molecule and in systems for high volume administration either by a pre-filled syringe or pump system such as SmartDose. I believe West is in a very strong position to satisfy the growing market need for enhanced containment and deliver systems for protein therapeutics. Turning to our outlook for the remainder of 2013. As outlined on slide number 7 and in this morning’s release we believe sales growth for the year will be in the range of 6% to 8% on a consolidated basis using revenues in the range of $1.36 to $1.38 billion. Increased sales of our high value product lines and the continued shift to proprietary products will drive 2014 revenue growth. We're forecasting improvement in our full year consolidated gross margins, which when coupled with our assumptions for SG&A and R&D spending should produce full year adjusted earnings in the range of $1.58 to $1.63 per share assuming a dollar euro exchange rate of 1.35 for the remainder of the year. Slide number eight summarizes our current outlook for 2014 in the five year planning period ending in 2018. For 2014 we believe consolidated revenue growth will again be in the 6% to 8% on a constant currency basis, with high value product sales in the developed markets, volume increase in an emerging markets and new programs and contract manufacturing driving growth. As customer stability testing and validation studies continue, CZ tails within the Pharmaceutical Delivery Systems we are expecting grow 15% to 20%, although off a relatively small base. For five year period ending in 2018, we currently believe organic growth and Packaging Systems coupled with the commercialization of new products in the Delivery System group has the potential to push revenues to between $2 to $2.2 billion. Our fundamental strategy will remain focused on expansion of our high value product lines, lean operations and selective organic growth in emerging markets for the Packaging segment, while shifting our sales mix to West proprietary products in the Delivery Systems group. Executing the strategy we believe has the potential to push our consolidated operating margins to between 18% and 20% at the end of the five year plan period, consistent with the objectives we laid out in late 2012. I’d now like to turn the call over to Bill Federici for a more detailed discussion of our financial results. Bill?
Bill Federici : Thank you, Don and good morning everyone. We issued our third quarter results this morning reporting net income of $26.8 million or $0.37 per diluted share versus the $0.21 per diluted share we reported in the third quarter of 2012. Excluding the effects of special items in both periods, our Q3 2013 adjusted diluted earnings per share are $0.39, compared to $0.26 in the prior year quarter. The reconciliation of these non-GAAP measures are detailed on slide 15 through 17. Turning to sales. Slide 9, shows the components of our consolidating sales increase. Consolidated third quarter sales were $341.8 million, an increase of 10.9% over third quarter 2012 sales excluding exchange. Packaging Systems sales increased by $31.8 million or 14.7% over same quarter 2012 sales excluding exchange. Volume increases and a favorable mix of products sold accounted for 12.3 percentage points of the increase. Sales price increases contributed the remaining 2.4 percentage points. Sales of our high value products increased 23.4% versus the prior year quarter excluding exchange. Our Q3 2013 high value product growth was due to continued increased demand for advanced coated and left out process components. You may recall that our second quarter high value product sales grew at a more modest 3.3%. Our third quarter sales benefited from customer inventory management actions including the prelaunch ramp up for customer vaccine and some safety stock building by another customer in advance from a formulation change. We believe that our Packaging Systems Q3 sales growth excluding the effects of customer inventory management actions is more inline with our expected annualized growth rate of 6% to 8% and that our high value product sales growth excluding these items is in the low to mid teens. Delivery Systems sales increased by 1.7% over the prior year quarter excluding exchange. Sale improvements for CZ and safety systems were partially offset by lower contract manufacturing sales. Sales of proprietary products were $21.3 million or 23.6% of the segment’s revenues in the quarter compared to 21.3% in the prior year quarter. CZ sales and development activity were approximately $4.4 million in Q3, about $2 million higher than the prior year quarter with CZ cartridge samples accounting for the majority of the increase. As provided on slide 10, our consolidated gross profit margin for Q3 of 2013 was 30.8% versus the 29.8% margin we achieved in the third quarter of 2012. Packaging Systems’ third quarter gross margin of 35.6% is 2.3 margin points higher than the 33.3% achieved in the third quarter of ‘12. The strong sales mix accounts for the majority of the improvement aided by sales price increases and volume-related efficiency improvements in our plants that offset labor and other cost increases. Raw material costs were slightly favorable compared to the prior year quarter. Delivery Systems’ third quarter gross margin decreased 3.4 margin points versus the prior year quarter to 17.6%. Modest price increases were offset by an unfavorable mix of sales due to increased sales of lower margin CZ vials and cartridges and lower plant throughput in the contract fracturing business together with higher material, depreciation overhead and labor cost. As reflected on slide 11, Q3, 2013 consolidated SG&A expenses increased by $2.4 million or 4.5% compared to the prior year quarter due to normal inflationary increases, personnel increases in Asia to support our growing business and increased outside services spend mostly related to review of our supply chain. Within the Delivery Systems segment, SG&A cost include additional support for business development and marketing of our proprietary product offerings, retirement plant expense decreased by about $1 million versus the prior year quarter. Current quarter SG&A expense declined as a percentage of sales compared to the prior year period. Slide 12 shows our key cash flow metrics. Operating cash flow was $151.7 million for the first nine months of 2013, $34 million more than the comparable prior year period due primarily to our strong operating results and [receipt] of the $20 million SmartDose exclusivity payment earlier this year. Capital additions of $113.1 million were made in the first nine months of 2013 including the $35 million of accrued new headquarter building cost paid in 2013, roughly half of the capital was spent on new products and expansion efforts. We expect this trend between $125 million and $135 million in capital in the 2013 excluding the $35 million of accrued new headquarter building cost. Slide 13 provides some summary balance sheet information. Our balance sheet continues to be strong and we’re confident that our business will provide necessary future liquidity. Our cash balance at September 30th was $222 million, $60 million higher than our December 2012 balance. The vast majority of our cash is invested overseas and is generally not available to be repatriated to the U.S regarding current cash consequences. Debt at September 30th was $400 million. Our net debt to total invested capital ratio at quarter-end was 17.6%, about 8 percentage points lower than the prior year-end ratio. Working capital totaled $397 million at September 30th, $101 million higher than at the prior year-end. The increase in working capital was due to the increase in cash, accounts receivable and inventory, as well as timing-related decreases in accounts payables on accruals. In summary, we had a strong third quarter. Our full year guidance yields consolidated sales growth of 6% to 8% ex-currency and should result in mid to high teens adjusted diluted EPS growth. We also expect sales growth to continue in that 6% to 8% range ex-currency through 2014 and anticipate accelerating sales growth to at least that range to our five year long-term planning horizon. I’d now like to turn the call back over to Don Morel. Don?
Don Morel: Thanks very much, Bill. This concludes our prepared remarks for this morning. And we look forward to answering any questions you might have. Operator?
Operator: (Operator Instructions). And your first question comes from the line of Arnie Ursaner with CJS Securities. Please proceed.
Arnie Ursaner - CJS Securities: Hi. Good morning and congratulations on a very good quarter.
Don Morel: Good morning, Arnie. Thanks.
Arnie Ursaner - CJS Securities: In pharmaceutical Delivery Systems, can you help us better understand, you mentioned lower profitability from preclinical volumes of CZ cartridges. I guess I am thinking of it very favorably that you have a lot more CZ cartridges going out. But why would it have a negative an impact on your margin. Are you essentially giving it away at the beginning of the process?
Don Morel:
):
Bill Federici: And the other part of that story was to reduce throughput in the contract manufacturing plants, Arnie.
Arnie Ursaner - CJS Securities: Okay. And then going back to the core business, the packaging systems piece, you mentioned your backlog is up 12% which is a really good number. You also mentioned you are moving some order trends out into early next year which seems even earlier than normal. I guess my question is you highlighted Q3 was impacted by earlier shipments of some products sort of some preordering for new program. You normally have excellent visibility into all of Q4 at this point, I’m trying to weigh the two as to how much did we really borrow and have stronger backlog do you have for Q4 entering next year?
Don Morel: Yeah. I mean it’s probably a bunch of questions in there. The orders for 2014 that are flowing in are positive and more what we think is part of our normal business flow in the fourth quarter. The two things that happen in the third quarter, we did have acceleration with volumes for vaccine product which is not a typical given the fact that they would be preparing for the full season and other things. And the other one is an unusual one, with a change in a detergent agent with the way that we process some of our products for our specific customers. So in fact during the quarter they have been double ordering new samples so that they can run their validation trials and old samples before the product is continued to run current volumes, so that was the better to pick up problem in the third quarter. The fourth quarter is ordinary one and which we do have good visibility, but it is subject to some lumpiness as customer adjust year-end volumes. So we feel good about where we’re at and we feel good about the fact that ‘14 is starting to sell in.
Arnie Ursaner - CJS Securities: Okay. My final question if I can before jumping back in queue is, as you, you obviously provide as you always do with this time of year, your five year place which drives your comp, but two questions related to that. What CapEx do you have embedded in that plan? And to the extent that simple, towards the end of that program how do you see the trend of return on invested capital going?
Bill Federici: The answer to the first question, the range is what we’ve seen thus far somewhere in that $120 million to $150 million. It will vary each year, but that’s a good way to think about CapEx going forward. In terms of the second question about how ROIC will progress, we think ROIC will get stronger over the planned period as the profitability increases from the commercialization of those proprietary products in the back half of the planned that has the, carries not only higher revenue per unit, but also higher margin per unit in that business and therefore will increase the profitability and as such it will increase ROIC.
Arnie Ursaner - CJS Securities: Thank you very much.
Bill Federici: Thanks, Arnie.
Operator: And your next question comes from the line of Ross Taylor with CL King. Please proceed.
Ross Taylor - CL King: Hi. Maybe I will start with…
Don Morel: Hey. Good morning, Ross.
Bill Federici: Good morning, Ross.
Ross Taylor - CL King: Hi. How are you all doing? Your five year plan objective, the 18% to 20% margin objective how much of that is driven product mix and how much of that might, the improvement might be driven by just factors like leveraging your fixed cost or your other efficiency programs?
Don Morel: Yeah. The majority of it is driven by the product mix both as we see a higher shift through the value-add and the Packaging Systems group, we think that sounds like to run. A large part of it is driven by the proprietary mix and Delivery Systems moving from about 24% now to we think we can get it close to 50%. So the uptick of those products carries a much higher gross margin and in fact drives the improvement in the consolidated operating margin. It is not a whole lot built in on the lean and efficiency side although we certainly will continue those programs and always look to see how we can keep our cost as well as that possibly can be, but the majority will be driven by mix.
Ross Taylor - CL King: Okay. And another question, in your remarks you mentioned that you thought the adjusted rate of growth for your high value pharma packaging items was probably in the low to mid teens and is that kind of a good rate to expect say for the next one to three years to those types of products?
Bill Federici: Yeah. I agree, Ross. Other than some lumpiness in individual quarters which we saw last quarter when the high value products only grew about 3%. We’ve looked back overtime we’ve shown you that slide when we get together the last five years through 2012, high value products grew at 15% on a compound annual growth rate over that time period. We see no reason why over, again lumpiness in quarters, but if you look at over the year time horizon, no reason why we should not continue to see growth in kind of that low to mid teens rate.
Ross Taylor - CL King: Okay, thanks. And my last question relates to SmartDose, I think the anticipation have been that a clinical trial would begin with that product before the end of this year, and can you give any, your comments as to whether that’s still the expectations?
Don Morel: It’s likely to be pushed out to early next year. The customer has requested a few design changes, which are underway. We are doing clinical trials solely for human factors engineering, but in terms of including the drug it will likely be early next year.
Ross Taylor - CL King: Okay, all right. That’s all my questions. Thank you.
Don Morel: Thank you.
Bill Federici: Thanks, Ross.
Operator: And your next question comes from the line of Rafael Tejada with Bank of America. Please proceed.
Rafael Tejada - Bank of America Merrill Lynch: Just a quick question on the 2014 6% to 8% growth, can you just talk about the growth assumptions for the different buckets? And are you still thinking of the contract manufacturing pieces at 3% to 5% grower? And what sort of contributions are you baking in from Crystal Zenith?
Don Morel: Okay. I will take them as you gave them. The 6% to 8%, we think about pricing, it’s going to be what we talked about generally, which is 1% to 1.5%. There is a little bit of volume in there, again maybe in the same kind of weighing 1% to 1.5% and rest would be what we consider to be mix. So as it relates to the contract manufacturing business growth rate, yeah the 3% to 5% is a good way to think about that. And I think I forgot the last part of that question.
Rafael Tejada - Bank of America Merrill Lynch: The CZ contribution I guess?
Don Morel: CZ is going to be again modestly increasing somewhere in the mid -teens rate of increase and that will be off a base. We think this year it'll get around $15 million of sales of the CZ and then you have an increase of something like 15% on top of that.
Rafael Tejada - Bank of America Merrill Lynch: Okay. And then with regards to Q4, could you just remind us if there was, what sort of benefit there was from last year's flu season and if you are factoring in what kind of projections are you making in terms of sales contribution this year?
Bill Federici: Yeah. You wouldn't see the whole lots of flu in the fourth quarter, that's all pre-manufactured at the end of the second and third quarter. So year-on-year no real change there.
Rafael Tejada - Bank of America Merrill Lynch: Okay. And then just a different question in regards to the sort of stocking that you’re seeing from your customers, whether you've seen any changes in their stocking behavior through the year? And just bigger picture, typically how long do you -- biopharma customers stock or excuse me just your end customers, how long do they stock either conditional packaging products for?
Bill Federici: Yeah, it’s across the board. So if you take the disposable net device customers, that usually gets consumed and what they will consider just in time. They usually carry anywhere between four and six weeks would be a pretty good number. Those manufacturing sites are located pretty close to their. So those times tend to be a bit lower. On the pharmaceutical side, again it’s all over the map depending on product type and demand. It is not unusual from those companies to keep somewhere between three and four months’ stock on hand. With some of the lead time challenges we had in the high value products earlier in the year, we did have customers build up safety stocks to a higher level. For the biotech companies, it’s not unusual for some to be at six to nine months and others to be at nine to 12 months. That would be for finished goods. So we also work very closely with our customers in terms of raw material strategies. We also have safety inventories of all critical raw materials, some of which stretch to a year.
Rafael Tejada - Bank of America Merrill Lynch: Okay. I'll jump back in the queue. Thank you very much.
Operator: (Operator Instruction). Your next question comes from the line of Arnie Ursaner with CJS Securities. Please proceed.
Arnie Ursaner - CJS Securities: Two follow-up questions if I can. One is around this time you’re normally dealing with contract renewals at key customers, but my recollection is you signed most of the major ones last year, the multi-year ones, is that correct?
Don Morel: That is correct and currently we have one pending.
Arnie Ursaner - CJS Securities: Okay. And in the October 2013 issue of Applied Radiation and Isotopes, they have an article discussing the benefits of CZ in a more specific closure, but you’ve also been trying to educate the medical community about the benefits of CZ. How do you plan the useless current study validating the improvement from CZ to market to other companies, or rather...?
Don Morel: Well, certainly you need market niche. As a reminder, the CZ platform has always had a very strong position in radioisotopes and contrast imaging agents. So Daikyo currently sales, I would estimate probably about $30 million to $40 million worth of CZ going directly in the image contrast agents. So the study in effect validated with the customer was we’ve already seen and testing in terms of the performance improvement of the material versus glass. The major issue here is breakthrough systems, but if the article pointed out there are also some other conventional benefits. In terms of our marketing, we continue to get the word out in terms of how we perceive the benefits for especially high value products to be presented to our customers, whether it’s break resistance, reduction and contamination, elimination of silicon, all of them look for a different list of performance attributes that will enhance their product. We’ll fortune to be in a position that through a combination of technologies we can offer them a range of those benefits. So these conferences, it’s one-on-one contact through the sales force and continuing to push the message.
Arnie Ursaner - CJS Securities: Okay. And you said a customer undergoing testing on -- shifting gears on SmartDose, you had a client undergoing some pretty more extensive testing of that as part of a roll out, can you update us on the status?
Don Morel: Yeah, it’s a bit of a follow-up to Ross’ question. The majority of the testing that’s taken place over the last six months has been very focused, human factors trial, very interested in how they obviously follow the user instructions that placement on the abdomen pain levels, those trials had gone very well with very high satisfaction rates. We did get some feedback out of those trials resulting in a couple of design changes and that’s what pushed the actual drug trial into the early part of 2014, but we see the feedback on a patient basis being very, very positive.
Arnie Ursaner - CJS Securities: Okay. Just to remind investors, Don, I know you’ve tried to be cautious about when we have a major inflection point on CZ, but maybe take a minute and as you think about the kind of next five-year view on a conservative basis, when do you expect a meaningful acceleration of West growth from CZ when do you see that inflection point occurring?
Don Morel: Yeah, I mean, there is two answer to the question, Arnie. One is that follows the traditional two-year stability and one year view on approval by the various regulatory agencies. The conservative view is late ’15, early ’16. The aggressive view is the drugs that would have a nine or 12 month stability trial. We don’t know if any of those going on currently to my knowledge, which might pull forward a little bit, but I think it would have taken a stand, you probably in the Q4 ’15, Q1, Q2 ‘16 kind of range for the real inflection point.
Arnie Ursaner - CJS Securities: And how many compounds currently are under a review or test? I know it’s been in hundreds, but maybe…
Don Morel: Yeah in terms of pre-stability and early validation and compatibility testing, we know that it’s more than a hundred to our knowledge and we have gotten no update from our customers right now. There are four that are on formal stability.
Arnie Ursaner - CJS Securities: Okay, thank you.
Operator: At this time, we have no further questions. I would now like to turn the call over to Donald Morel for closing remarks.
Don Morel: Thank you very much for your time this morning. We look forward to talking with you again during our February year end call.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect and have a great day.